Operator: Good day, everyone, and welcome to the Chuy’s Holdings’ Second Quarter 2022 Earnings Conference Call. Today’s call is being recorded. At this time, all participants have been placed on a listen-only mode and the lines will be open for your questions following the presentation. On today’s call, we have Steve Hislop, President and Chief Executive Officer; and Jon Howie, Vice President and Chief Financial Officer of Chuy’s Holdings, Incorporated. At this time, I’ll turn the conference over to Mr. Howie. Please go ahead, sir.
Jon Howie: Thank you, operator, and good afternoon. By now, everyone should have access to our second quarter 2022 earnings release. If not, it can be found on our website at chuys.com in the Investors section. Before we begin our review of formal remarks, I need to remind everyone that part of our discussions today will include forward-looking statements. These forward-looking statements are not a guarantee of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial conditions. With that out of way, I’d like to turn the call over to Steve.
Steve Hislop: Thank you, Jon. Good afternoon, everyone, and thank you for joining us on our second quarter earnings call today. Our second quarter began with a positive top line momentum as we continue to enjoy the strong demand from our guests craving the unique Chuy’s experience. This was demonstrated by solid comparable sales growth, particularly in April and May as compared to both last year and 2019. With that said, we have not been immune to recent sales volatility seen across the consumer landscape, resulting in flat to slightly positive comparable sales as compared to last year for the month of June and into the third quarter to date. It’s also worth noting that we have endured the hottest May, June and July on record in Texas, which has had a negative impact on our traditionally strong patio sales and alcohol mix. Furthermore, despite the unprecedented inflationary environment, our team’s ongoing focus on cost management and operating efficiencies resulted in over a 19% restaurant-level operating margin, one of the best in casual dining segment and a 190 basis point improvement over our pre-pandemic level. At Chuy’s, our goal has always been to provide fresh, made-from-scratch food and drink at an incredible value. And despite the cost environment, we are continually working to maintain our strong value gap versus our peers, which we believe will benefit us in the long run. With that in mind, we are taking an approximately 3.5% price increase in the third quarter in order to maintain a balance between protecting our store level margin and maintaining our value proposition to our guests. Importantly, even with this price increase, our value proposition remains strong relative to our peers, which we believe will continue to give us future pricing power should the need arise. With that, let me update you on certain key aspects of our business, starting with staffing. We’re pleased with the improvement we’ve made in terms of hiring during the second quarter and are comfortable with the progress we’ve made in our staffing levels. We believe the key to proper staffing is in retention of our team members, both hourly and managerial. During the quarter, we continued our retention bonus program for our managers, provided referral bonuses to our team members for providing successful new applicants and most recently rolled out a new mental health and personal counseling benefit for all of our team members. We continue to be successful with our off-premise business. Mix is at approximately 27% during the second quarter. This is above our targeted low to mid-20 off-premise goal, and we remain pleased with our team’s execution. Also with regard to off-premise, we made progress in expanding our catering business, which is now in 16 markets. We are on track to complete the rollout system-wide by the end of the year. In terms of menu innovation, if you recall, we streamlined our menu offerings at the onset of the pandemic and have been slowly adding certain popular items back into our menu as we return to a more normal operating environment. To that end, starting in the fourth quarter, we are planning to introduce quarterly specialists, we call CKO, our Chuy’s Knockouts, with a combination of old favorites and exciting new items offered on a limited time basis. This includes new items such as The Macho Burrito, Pork Boom Boom Enchiladas and Chuy’s Fried Chicken Tacos, all of which will be supported by our marketing initiatives. During the quarter, we continue to utilize digital media to not only introduce and highlight new menu items, but also as a recruiting tool. This includes the use of TikTok, organic influencer programs on Instagram, YouTube video advertising and promotional advertising partnerships with DoorDash. Combined with the launch of our new website later this year, we are excited about the potential of our marketing initiatives, allowing us to reach broader audience groups and to better connect with both new and returning guests. Before I turn the call to Jon, let me quickly touch on our development plan. During the quarter, we successfully opened a new restaurant in Midland, Texas and are pleased with its performance to date. As we look ahead, we have adjusted our development expectations for the year to four new restaurants as there is of external challenges related to supply chain and construction. We have pushed the rest of our openings – we have pushed the rest of the openings originally scheduled in 2022 to early 2023. With that, I will now turn the call over to our CFO, Jon Howie, to discuss our second quarter results in greater detail.
Jon Howie: Thanks, Steve. Revenues for the second quarter increased 2.6% to $110.9 million compared to $108.2 million in the same quarter last year. The increase was primarily related to $2.1 million of incremental revenue from new restaurants opened subsequent during the second quarter of 2021. For the second quarter of 2022 and 2021, off-premise sales were approximately 27% of total revenue. In total, we had approximately 1,250 operating weeks during the second quarter of 2022. Comparable restaurant sales increased 1.7% versus last year, driven by a 3.4% increase in average check, slightly offset by a 1.7% decrease in average weekly customers. Comparable restaurant sales increased 0.6% versus 2019. Turning to expenses. Cost of sales as a percentage of revenue increased 420 basis points to 27.8%, driven by a substantial increase in the cost of beef, chicken as well as fresh produce, cheese and grocery items. Overall, commodity inflation during the second quarter was approximately 24% and partially offset by menu price increase taken during the year. Based on the current market conditions, we expect our third quarter commodity inflation to remain in the mid-20% levels as compared to 2021. Labor costs as a percentage of revenue increased approximately 110 basis points to 29.1%, primarily due to hourly labor rate inflation of approximately 11% at comparable restaurants as well as an improvement in our hourly staffing levels as compared to last year. This was partially offset by menu price increase taken during the year. As we look to the back half of the year, we expect our hourly labor inflation to remain at elevated levels of approximately 10% for the third quarter of 2022 and 6% to 8% for the fourth quarter of 2022 as compared to 2021, in addition to a continuation of the year-over-year increases in staffing levels. Operating costs as a percentage of revenue increased 110 basis points to 15.8% due to higher restaurant repair and maintenance costs and increase in credit card fees as well as cost pressures on utilities and to-go supplies. In addition, our delivery service charges were also higher year-over-year due to a change in our delivery menu pricing structure. Marketing expense as a percentage of revenue increased 40 basis points to 1.5% as the company reinstated its digital advertising campaigns across the nation. Our occupancy cost as a percentage of revenue decreased 10 basis points to 6.8% as a result of sales leverage on fixed occupancy expenses. General and administrative expenses decreased to $6.5 million in the second quarter from $6.7 million in the same period last year, driven by lower performance-based bonuses and professional fees, partially offset by an increase in travel related and other expenses. As a percentage of revenue, G&A decreased 40 basis points to 5.9%. In summary, net income for the second quarter of 2022 was $7.9 million or $0.41 per diluted share compared to $11.5 million or $0.57 per diluted share in the same period last year. During the second quarter of 2022, we incurred $0.7 million or $0.03 per diluted share in impairment, closed restaurant and other costs compared to $1.4 million or $0.05 per diluted share in the same period last year. The decrease was a result of the reduction in rent and holding costs paid on closed restaurants as the company continues to exit out of these related leases. Taking that into account, adjusted net income for the second quarter of 2022 was $8.4 million or $0.44 per diluted share compared to $12.6 million or $0.62 per diluted share in the same period last year. Moving to liquidity and balance sheet. As of the end of the quarter, we had $96.3 million in cash and cash equivalents, no debt and $35 million of availability from our credit facility. During the second quarter of 2022, we purchased 58,700 shares of our common stock for a total of $1.3 million. And as of June 26, 2022, we had approximately $20.6 million remaining under our $50 million repurchase program, which will expire on December 31, 2023. Lastly, we’d like to provide an update on the following guidance for fiscal 2022. As Steve noted, we now expect to open four new restaurants in 2022 with two of those planned for late in the year. Net capital expenditures are now expected to range between $30 million to $33 million. Restaurant preopening expenses are now expected to be approximately $1.5 million to $2 million, and we still expect our effective annual tax rate to be between 12% and 14%. With that, I’ll turn the call back over to Steve.
Steve Hislop: Thanks, Jon. While we can’t control the macro environment, our team remains focused on doing what they do best, providing our guests with unique Chuy’s experience they have come to expect. We can accomplish this goal by being fully engaged in executing against our key pillars of safety, convenience and value. In closing, we believe our underlying business remains strong and the initiatives we’ve put in place have positioned our company to capture a healthy pent-up demand for our high-quality made-from-scratch food. Most importantly, none of our accomplishments to date would have been possible without the hard work and dedication of each of our team members. With that, we are happy to answer any questions. Operator, please open the lines for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Mary Hodes with Baird. Please proceed with your question.
Mary Hodes: Good afternoon. Thanks for taking the question and thanks for the color on the quarter to date. I guess looking ahead, if the consumer were to continue to slow, is there anything you’re thinking about doing differently from a menu or marketing perspective to respond to that? Or I guess, how would you encourage us to think about what levers you have to pull or how you would respond to that type of environment?
Steve Hislop: Yes. The key levers for us is the value that we already have within our menu. That’s the key for us. I think our price points are phenomenal, our value equation as well. And I think we’d just be talking about pretty much that and value and the convenience of our to-go.
Mary Hodes: Got it. And on the margin outlook, the prior 300 to 350 basis point goal. It seems like it could be tricky for 2022, just given the inflation expectations you shared. But how would you think about the opportunity to get back to those levels in 2023 at this stage?
Jon Howie: You’re absolutely right, Mary. I mean we weren’t expecting 25% inflation. So I think long-term, that is still our goal, and I think that is definitely achievable. This year it may be a little difficult given the inflation situation. But I think as that calms down, I think we can get back to that long-term.
Mary Hodes: Great. Okay. And then last one from us, would just be understand the development challenges impacting 2022 and the slippage there for some units to 2023. But how are you thinking about your prior goal of accelerating unit growth to the double-digit range in 2023 at this point?
Steve Hislop: Yes. We feel good at this point. And again, we started the year with a lot of on the back end of the year. And obviously, as you mentioned, the development difficulty has been there. But we’re expecting in 2023 to get back to the 10% growth a year.
Mary Hodes: Great. Okay. I’ll pass it on. Thank you.
Steve Hislop: Thank you so much.
Operator: Thank you. Our next question is from Chris O’Cull with Stifel. Please proceed with your question.
Chris O’Cull: Hey, guys. Good afternoon. Hey, Jon. I appreciate the wage rate pressure that you talked about and the 10% increases you’re talking about. Could you help us understand where the wage rates are relative to 2019?
Jon Howie: They’re just slightly higher than that, to be quite honest. I can give you that exactly, but I think they’re right around 15% when you’re looking at 2019. Let me look that up. And if you have another question, we’ll be looking that up as you ask that. But I think it’s around 15%, if I’m right.
Chris O’Cull: 15% above 2019 levels?
Jon Howie: 16.6%, it’s a little off, 16.6% above 2019 levels, yes.
Chris O’Cull: Okay. And then the company ended another quarter with $100 million in cash on hand. But this quarter, you only spent $1 million on share repurchases. So what are the plans for the cash on hand? And why would not be a little bit more aggressive with the buyback?
Jon Howie: Great question. We only have 15 days during the period from which to buy. We do have a – I mean, we can put a 10b5-1 we have. Those instructions just weren’t hit during the period as often as we’d liked. But we tend to be aggressive at these levels again. So that’s kind of all I can tell you there. But we plan to be aggressive at the levels that they are, but we’ve got to do it within the window or change the 10b5-1, we can’t really do that within the year.
Steve Hislop: And we’ll be aggressive where the stock price is.
Jon Howie: Yes.
Chris O’Cull: What’s the optimal cash level you’d like to have on the balance sheet? I mean, it’s been at this level for some time now. I’m just curious why the elevated cash level, especially given the debt capacity you have and the improved margin structure that you have for the business?
Jon Howie: Yes. I mean, we’re looking at that right now, Chris. We’re looking at it at the executive level and at the board level from a basically, capital allocation standpoint on where we want to go with that. Right now, I mean, we’d like to do it with growth. But I mean we don’t want to do growth for growth. We’re looking at about 10%. And so we won’t be able to spend all that. We’re also looking at also buying properties maybe and doing sales leaseback to reduce that overall investment long-term in those investments and then buyback the stock. So to answer your question, the ultimate – we operated for years and years with about $13 million to $15 million, $20 million to $25 million is probably a good number to keep on our balance sheet and keep operating. But we’re looking at other capital allocations at this point.
Steve Hislop: And as we’ve mentioned before, Chris, we were comfortable sitting on this cash as we’re continuing to go through COVID and especially through 2022. And that’s what I think is because I don’t think we’re 100% done with COVID. So that’s something that gives us a pause a little bit also.
Chris O’Cull: Okay. Great. I’ll pass it on.
Steve Hislop: Thank you.
Operator: Thank you. Our next question is from Brian Vaccaro with Raymond James. Please proceed with your question.
Brian Vaccaro: Hi, thanks, and good evening. I was hoping you could elaborate on the comp moderation that you’re seeing in recent months. And I guess, I’m just curious if that’s primarily a traffic or check dynamic, any differences you can see in the data amongst different consumer cohorts or any changes in order patterns that you’re seeing as consumers navigate the menu.
Jon Howie: Sure. I mean it’s pretty broad-based, Brian. And like Steve said on his comments, it is – we’ve had three months of the hottest months in Texas. We lost close to $3 million in patio sales this quarter, which equates when you look in that alcohol mix, alcohol mix on the patio is probably around 25% to 26% compared to dine-in of 20%, 21%. And so you’re losing a lot in the way of alcohol sales and not from attachment rates, but I think just from patio sales. So that’s been really a driving force for our Texas stores.
Brian Vaccaro: Okay. Great. And on the commodity front, Jon, I think you said you expect mid-20s inflation in the third quarter. I know it’s an uncertain environment, but I guess everything you know today, how do you expect that to trend looking into the fourth quarter? And then could you just give us an update on your contracts for the second half in any areas in particular that you’re not contracted on?
Jon Howie: Sure. And so our proteins, obviously, chicken, we can’t contract in. We have a fixed rate of Urner Barry. So as that comes down, we’ll benefit from that. And the numbers that we’re giving is if it stays as is. So to the extent that we get – two areas that can really help us and that’s produce and chicken. Produce though, once it starts, you would see avocados come down and then now go back up. So we’ve seen elevated produce prices. If they come down, we could see some benefit there. Chicken, as it continues to come down, we see benefit there. Our beef is locked in. We continue to look at opportunities to buy at lower costs and mix into those contracts, which may help us. But that will mainly be next year where purchase through the end of the year in beef. And then oil, I think we’re locked up in oil, which we make our own mayonnaise and things like that. So we contract through oil, soybean oil and all that through the end of the year as well. So to the extent that we can contract further out and mix that into the contracts, we can see some benefit. But what we know today, that’s kind of where we’re seeing. In Q4, we’re seeing it come down a little more. But I think overall inflation for the year is going to be in that high teens, low 20s.
Brian Vaccaro: Okay. Great. That’s very helpful. Last one I just wanted to ask about was on labor. Could you expand a bit on the pace in which your staffing levels have been increasing over the last few months, maybe a snapshot of where your staffing levels were early in the quarter and maybe more recently? And I’m just trying to understand sort of where the staffing levels are compared to your current needs given that traffic is obviously still down somewhere in the teens versus 2019. Thank you.
Steve Hislop: Yes. Thank you. We started the quarter probably in that 85% to 90% staff rate. Well, I would say we’re at 95% plus right now. We feel real good about it as we continue to move forward. And again, these are on our new power levels as we continue to move forward. So we feel strong with that. Obviously, we are going into – about to be a slower part of our year when you index our quarters into the third. So we feel great about it. We’re always constantly looking for great talent. We’re never going to ever say we’re fully staffed because we’re always hiring, and that’s how we’ll continue to look at it. But we feel really comfortable with where we’re at today.
Brian Vaccaro: That’s great. I’ll pass it on. Thanks.
Operator: Thank you. Our next question is from Andrew Strelzik with BMO Capital Markets. Please proceed with your question.
Andrew Strelzik: Hey, good afternoon. Thanks for taking the questions. My first one is just on pricing. And I guess in my notes, you have got from last quarter that you were looking at 3% to 3.5%. So that came in at the high end. But I guess with inflation continuing to run as high as it is. Why is that still the right level? How are you thinking about pricing beyond, understanding that we have some consumer uncertainty and the value proposition is obviously very important? I’m just I guess, trying to get a sense for how you continue to think about it beyond the 3.5%.
Steve Hislop: Yes. Again, it’s important to note that we started at the beginning of the year, at the beginning of the third period we took about a 3%, 3.25% is what we took in the second period of about 3.25%. Then we came back and took another 3%. So we’re a shade under 7% for the year. And we think that’s a push. I think that’s still a little bit better than some of our competitive set in casual dining. Having said that, with us looking at everything going on with inflation and not only to restaurants, but to the regular consumer, we felt the value was a huge part of our business as we continue to move forward. Like I mentioned in my talk earlier that we definitely feel like we have the best value out there in casual dining. We’ll continue to monitor that, and we feel we have some pricing power as we move forward. But we were comfortable going into shade under 7% for the rest of this year and we look at it for 2023.
Jon Howie: And I might add something here, too. If you look at the Black Box and you look at sales versus traffic, starting in February of this year, our traffic levels, although still negative, has advanced higher than the overall casual dining has. So we actually surpassed that in traffic. We haven’t caught up with overall sales yet because of our pricing. But I think what Steve was talking about is starting – is working as well because it is driving the traffic.
Andrew Strelzik: Got it. Okay. That makes sense. And then I guess, what did you call them, the Chuy’s Knockouts, I believe – so you guys are going to start to roll those out. I guess I’m just curious, obviously, there’s been a big push behind the streamlining of the menu through the pandemic, you’ve added some items back and now starting to pull some of these things in. Is there any reason to believe or is there an outcome through those LTOs, I guess, or the specials that you could think that maybe you need to continue to selectively, I guess, beef up the menu. Or are you seeing – do you not see a scenario where that would play out?
Steve Hislop: No, I feel great about the existing menu at that 44, 45-item menu currently. I think it offers a lot of choice and a lot of variety. What I would like to do, starting in the fourth quarter is you’re going to see us two to three items a quarter. We’ll run six weeks in the quarter a time. And one might be an old favorite that used to have. One might be an old special that we ran over the last 10 years. And that’s how we’ll do that. And so yes, max would always be three items, two or three every single quarter for a six-week period of time. As we move into 2023, specifically the mid part of the year, you will see us take a little bit of a different approach to these Chuy’s Knockouts. And we will use – on one of the items, we’ll always probably have a barbell approach to one of them, and where it was something that come on to our menu will be a little higher cost item and a higher priced item, that will be added into the CKOs in the middle part of the next year. But that’s our approach. Just to keep something new and exciting as we can think, and again, keep things that we’re ready to talk about and get not only our consumer excited, but our employees excited. So that’s what we’ll do. But we’re very comfortable with the size of the menu currently with just a couple of the three specials every quarter. And that’s how we’ll continue to move forward.
Andrew Strelzik: Okay. And then just last one for me is, obviously, the marketing levels have gone back up, but we are going into year end, what is a choppier environment here. I guess I’m just curious, is that make you think one way or the other about marketing levels higher or lower. Now that you’ve had that for a couple of quarters at the higher level or, I guess, some more normal levels. Are you seeing the type of returns on that, that you would have expected or like to see. Thanks.
Steve Hislop: Yes, this is expected. What we’ve done is return back to our 2019 level is what we’ve done, really just adding back into the social part of our business and a little bit of the stuff I mentioned in the call, which is some of the video. We’re comfortable with that level. It’s roughly 1.45%, 1.5% of sales. And we think that’s optimized for us, and we’ll continue it there.
Andrew Strelzik: Thank you very much.
Steve Hislop: Thank you.
Operator: [Operator Instructions] Our next question is from Nick Setyan with Wedbush Securities. Please proceed with your question.
Nick Setyan: Thank you. In the past, you’ve said that the limited staffing was keeping lines a little bit longer. Maybe you guys had less table than you’d like. Customers were waiting outside. I mean is that still happening? Is there still excess demand that you could convert if you were fully staffed?
Steve Hislop: A little bit, Nick. Like I said, we’re right around that 95%. One thing that’s permanent, though, is in our model, we definitely have changed the model of how many seats – specifically how many tables are in our restaurants. They’re right in that 40 to 42 size is perfect for us. That’s also part of our new power system on hourlies and that was forced a little bit, and that’s in our new model. It’s definitely more profitable hours. And then what we’re also doing is we permanently reduced some hours of operations in our restaurants from 2019 levels. We did an analysis on those, and they just really weren’t what you’d call profitable hours for us. And that’s going to continue, and that’s where we’re at today.
Nick Setyan: Got it. Okay. The quarter-to-date, flat to slightly positive. Did that include the incremental price increase in Q3, when is that incremental price increase? Was that early in the quarter?
Steve Hislop: No. It was right at the end of actually Q2 and it’s right at the end of it. So it just started in Q3.
Nick Setyan: Okay. So the quarter-to-date comps are included in the incremental price increase?
Steve Hislop: Yes.
Jon Howie: Yes.
Nick Setyan: Okay. In terms of just what you’re seeing from consumer behavior, are you seeing trade downs. Is there regional differences across the system that makes you call out Texas and the heat in Texas. Anything you comment there would be very helpful.
Steve Hislop: Yes, again, it’s broad-based. We haven’t seen any big change in anything like that so far. I think you mentioned it a second ago. But no, that’s – it’s been pretty even all the way across.
Nick Setyan: Got it. Okay. And then just the incremental price increase, by my math, it’s about 6.5%, maybe 6.7% in Q3 now. And with the food cost inflation commentary, by my math, it keeps COGS right around 28, maybe low 28. Is that fair?
Jon Howie: Yes, that’s fair.
Nick Setyan: Okay. All right. Thank you very much.
Jon Howie: Thanks, Nick.
Operator: Thank you. Our next question comes from Andy Barish with Jefferies. Please proceed with your question.
Andy Barish: Hey, guys, good evening. First, just wondering on the CKOs, do you expect to drive menu mix positively? Or is that something we’ll have to kind of wait as you move through 2023 and start to implement some of those maybe higher-cost barbell items?
Steve Hislop: Yes, I think what you’ll see – and again, just the excitement level from a consumer and employees, in Q4 and Q1 starting probably in Q2 when we do a little bit more of the barbell approach is when you’ll start seeing a menu mix change a little bit there, Andy.
Andy Barish: Got it. And then I may have missed something, but can you clarify the delivery menu price comments? Just are you seeing more pressure there? Or is it less pressure for delivery fees hitting the income statement? I wasn’t sure where that was going.
Jon Howie: No. It’s more, Andy, as we started about three years ago to try to combat those fees, right? We did that final price increase this year, that’s now covering 100% of those fees. But that fee goes in our operating expense. And so that’s what’s driving that a little bit higher. So that’s running about 100 basis points higher than just because of those fees from where we were in 2019. Because that’s kind of how we have to record it. You’ve got the extra revenue on the revenue side, but then you still have to record the operating fees down there in the operating segment.
Andy Barish: Got you. Okay. And then finally, just on store pipeline, can you give us a sense just on kind of how much flexibility you have to open up, let’s say, those 10 or so units for next year, how many of them are kind of on the smaller 5,000 square foot prototype, where maybe it’s a little bit easier not that opening anything is easy right now.
Jon Howie: Yes. You’re right. I mean it’s not easy, but we’re flowing that – some of those over into 2023. And with those going over, we feel pretty comfortable with our pipeline for 2023, that we can accomplish that 10% unless it gets a little more restrictive than it is now. We think that the land may even give us a little benefit from a pricing standpoint as you’ve seen lumber come down drastically, but it’s really kind of supply issues right now, getting there – getting the labor, getting the contractors and getting the equipment on site. So hopefully, that alleviates some. But as far as from a site selection and site pipeline, we feel pretty comfortable at this point for 2022.
Steve Hislop: And as you know, Andy, all our expansion over the next – what we’ve said is about three years, it’s going to be probably in four to five states that we’ve talked about, where we currently already have units, and we have good awareness already. So we feel pretty comfortable going into those areas.
Andy Barish: Got it. Thank you very much.
Steve Hislop: Thanks.
Operator: Thank you. Our next question is from Todd Brooks of The Benchmark Company. Please proceed with your question.
Todd Brooks: Hey, good evening, everybody.
Steve Hislop: Hey, Todd.
Todd Brooks: A couple of questions is just leftovers here. One, Steve, you pointed to gross general manager retention and actually paying the manager retention bonuses again. Can you size, is it equivalent to what we paid out across Q2 and Q3 last year? Or what’s the structure of how those retention bonuses are working currently?
Steve Hislop: Yes. No, nothing like that. I think last year, it was around $1.6 million, I believe. You’re talking in the $150,000 range currently on a quarter basis.
Todd Brooks: Okay. Perfect. And then the second question I have is if you – you spoke to catering being in 16 markets now, all markets, hopefully by year-end. Just how is demand shaping up for catering? And as you start to think about maybe where it could mix out in the fourth quarter, how big of an opportunity is this year-over-year? Thanks.
Jon Howie: Yes. Great question. So we currently are blown away kind of any numbers that we’ve had in the past. We’re hitting all-time highs, close to double what we were in 2019. So I think we’ve said this before. I mean, we’re close to about 3% of sales right now in catering. We think that can grow easily to 4% to 6% once we start promoting it and get it in all markets.
Steve Hislop: Yes. The big thing…
Jon Howie: Sorry, go ahead, Steve.
Steve Hislop: The big change on that is in 2019, when we were doing it, we were doing big, big, big parties, they’re starting to come back now. Through the last year, we’ve been doing a lot of 20s, 30s and 40s instead of the 100s, 150s that we had in 2019. But we’re just now starting to see the weddings coming back a little bit more, bigger weddings, and that’s – we’re excited about seeing that.
Todd Brooks: And then just to put a finer point on this. Seasonally, as you get to Q4, and there’s just holiday-based celebrations – would you expect it to mix higher, Jon, maybe towards the high end of that 4% to 6% range?
Jon Howie: No. It’s going to take a while for that to get there. I mean if you think of private dining, right, and events like that, generally, a year in advance before you start building that business and going to wedding venues and you know how far in advance they plan. So it’s going to take a while to build up to that. So we don’t expect that in Q4. But I think ultimately, we can get there.
Steve Hislop: Yes.
Todd Brooks: Okay, great. Thank you both.
Steve Hislop: Thank you.
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor back over to Steve Hislop for any closing comments.
Steve Hislop: Okay. Thank you so much. Jon and I appreciate your continued interest in Chuy’s. We’ll always be available to answer any and all questions. Again, thank you. Stay healthy, and have a good evening.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.